Operator: Good afternoon, and thank you for joining Rakuten's 2022 Third Quarter Financial Results Meeting. We have disclosed the latest consolidated financial reports at 3:00 P.M. today. You can view this data on our corporate website page for investors, along with the presentation document used in this meeting. At first, Mr. Mikitani will give the greeting.
Hiroshi Mikitani: Good afternoon, everyone. Mikitani from Rakuten Group. And today -- so this is the third quarter financial results meeting. And this is the agenda of today's briefing. And first of all, we have very high interest, which is in the Mobile and Rakuten Strategy. And then the CEO of both entities, Tareq Amin, would make a presentation about these two businesses. And then next, about the Q3 business highlights and also business update by sectors, internet service and Fintech and overseas and content businesses. Last but not least, our CFO, Hiroshi to talk about our financial strategy.
Tareq Amin: Good afternoon. I am Tareq Amin, the CEO of Rakuten Mobile and Rakuten Symphony. Today, I'm delighted to share with you the performance of both organizations in the last quarter. In the mobile segment, it all has begun with a vision. Our monthly mobile subscription fee in Japan before Rakuten Mobile was launched was one of the most expensive in the world. We entered this market with one mission and one objective, to democratize the mobile market in Japan. And in less than two years, we have pulled a miracle, not only building a brand-new technology architecture, a software platform, but build a network from the ground up and accelerated our pace for base station build-out. And today, we are sitting in October 2022 with more than 98% of population coverage. This was an incredible journey in a very, very little time. At the same time, we are different, and we are unique. We disrupted the mobile and telecom industry. We introduced this segment and brought software to the essence of mobile. We launched mobile-as-a-software. The primary reason for pushing this is to allow us to reduce significantly our CapEx and OpEx investment due to virtualization, automation and open architecture. Today, Rakuten Mobile enjoys unparalleled cost structure with over 40% reduction in CapEx and 30% reduction in OpEx. Mobile-as-a-software is a game changer for telecom industry. At the same time, we implemented new ways to operate. We were focused on advancing customer experience, improving agility for onboarding, provisioning new SIM cards. We went from hours to minutes and we continue to improve the customer experience in our shops and our online channels. As we move forward, we have defined four strategic areas of focus for us. Number one is to focus on enhancing the customer experience, continue to focus on improvement in coverage indoor and outdoor. So, let me give you a little bit of detail around each one of those specific areas. Let's start with coverage. Today, this is really, really exciting news for us. We continue to focus on planned coverage for our Rakuten Mobile owned Network and we target to reach 60,000 base stations in our own coverage area and reach a population coverage of 99%. But we also have some very, very exciting news that we've been working on very hard. It is no doubt that we have built an amazing network, and we densified it, but we always knew that we needed to access platinum band to drive wider penetration into deep indoor area. And I'm glad to announce today that Rakuten Mobile will commence deployment of platinum band from 2024. And then another big activity that we have driven is space connectivity. With the launch of satellite, we also intend to provide 100% geographical coverage. This is first in Japan through AST. I now will give you a little bit more update on the progress. In terms of 4G deployment, we have hit a really big milestone, 50,000 base stations that enabled us to carry a majority of our traffic on our own network, reduce roaming costs and ensure our customers enjoy unlimited data and significant customer experience on Rakuten Mobile Network. We are today at 97%, 98% coverage, and we aim to achieve 99% coverage. At the same time, we recognize it is not just about deployment of 4G, but our focus also is acceleration of 5G plan. Today, we have accelerated the 5G sitting at around 6,440 base stations, and the plan will continue to accelerate in the coming quarters. We know that coverage is not just about outdoor. Our focus also is indoor coverage, providing home coverage through Rakuten Casa, an innovative product that provides both WiFi and LTE at the house. Addressing skyscrapers of what we call through explore solution, pointing and addressing the verticals that exist in Tokyo on high-rises, and also very happy to report to you that today, our subways in Tokyo is 95% covered of Rakuten only Mobile Network, and we continue to expand capacity and performance of this infrastructure. I brought the slide to you to show you the density that we had built Tokyo 23 words. We are building a highly reliable, highly quality network. And we continue to invest into these dense urban area, and you will see significant improvement in coverage. We are very, very focused on customer experience anywhere you go inside, outside, indoor, subways, trains. We think we're going to have a reliable experience anywhere you carry your phone call with you. At the same time, as I mentioned earlier, Platinum band was an extremely, extremely important foundation pillar to our strategy in Rakuten Mobile. We needed this. And I'm very happy to share with all of you the summary of our MIC drafted report. It defines a migration schedule. It also addresses migration cost for repair replacement, additional base station capacity, insertional filters in principle,existing licensees will bear all the cost above. And platinum relocation schedule, as I mentioned in my previous slides, we will commence -- targeted to start deployment of platinum band from March 2024. This is a really big step for us as well. Now what is different about our approach and deployment of Platinum band. Because of the technology architecture because of Rakuten and Rakuten Symphony, key software tenants, deployment of Platinum band will be done at an extremely low cost for three primary reasons. We will utilize and reuse our existing base stations, all of the accessories from batteries, rectifiers, even fronthaul, backhaul, dark fiber, where we reuse the existing infrastructure that exist in place. And then lastly, the software for radio access is a technology that is owned by Rakuten Symphony. So thus, we believe that CapEx is negligible if you compare deployment of Platinum Band of Rakuten Mobile versus other telecom companies in Japan or across the world. At the same time, this is also really big news, expansion of geographical coverage, not just focus on population coverage. We have really spent a lot of energy to deploy this technology, direct satellite to device communication without any special equipment. Any device will be able to connect to AST, which is SpaceMobile, our partner company, our venture company that we have invested in, and to date, we have successfully launched AST Mobile for satellite, and the first trial for such a technology worldwide will happen in Japan, hopefully in the month of November, by the end of the year, we will start communicating the test result of this innovative technology. Second, on customer base and ARPU. This is another thing that we really focus on. It is no doubt at the early days; we needed to really attract a lot of customers. We offered a free supporter program. And today, if you look at what we have done in terms of total MNO and MVNO subscribers, we are exceeding 5.8 million customers. And from recent subscription and acquisition trend, we are now seeing a number of paying customers are increasing. In fact, 100% of our customer base is paid customers. This is a really big accomplishment for Rakuten Mobile to move from free to paid, ARPU is increasing, revenue is increasing, and also total subscriber churn is stabilizing back to pre and Limit VII marks. This is really, really a big thing that we aim to do and achieved, and I'm glad to share with you this result today. We also had spend a lot of quality and we kept talking, especially today, whether it is Platinum Band, whether it is expanding our coverage in base station, it is no doubt that the relationship between network coverage and customer acquisition is highly correlated. If you look at our Tokyo 23 wards where we have a highly dense design, the coverage is really densifying indoor, outdoor, subways, we are now achieving an application rate of 10%, and we intend to carry this through into the rest of the geographies in Japan, and that's why we make us believe that our strategy for customer growth and our focus, and our relentless focus around coverage and quality will help us achieve those. Now if you look at our ARPU and our composition of ARPU, we were always excited about the implications and impact of Rakuten Ecosystems. And this is probably one of the few times that we share this. If you look at our ARPU as it increase and grow post UN-LIMIT VII, now we have an ARPU contribution of about JPY2,588 and the breakout between data, calls, option and ecosystem is extremely healthy for us. Especially, I am really excited about the ecosystem contribution that Rakuten Mobile is bringing to the larger group. We see that the growth of these drivers are the expansion of healthy, heavy users and data, increase in data usage, thanks to 5G expansion and new options released an increase in attach rate. And of course, ecosystem contribution is a key strategy and a key pillar for us. So allow me to show you now what 5G meant to us when we were experimenting in one of the Prefectures in Japan. So this is a specific example of a trial that we have done in Osaka. Why Osaka? Because we were allowed to transmit at max power, there was no interference issues with using 100 megahertz sub-6 band. Our 4G data consumption, even though very healthy at 15.3 gigabytes per user increased by up to 40% to go to 21 gigabytes per user. And in terms of ARPU, we saw a lift of up to 25%, and this is the trend that we think is very healthy and very encouraging for future growth in Rakuten Mobile. Last quarter, we reported to you, we also are launching new segment and new services. And this is now the introduction of our corporate B2B business. We've been really focused very hard on the trials for corporate B2B services. We have over 200 enterprises onboarded. And now I'm glad to announce to you that we will officially launch this service across Japan in early 2023. And one last thing to mention about new services that is also very exciting for Rakuten Mobile. Thanks to Rakuten Mobile innovative architecture. Thanks to Rakuten Mobile innovative Open RAN software mobile as a software platform. I believe we are the only carrier in the world through a simple software upgrade, we are able to activate every base station with narrow-band IoT capability. This is now commercially available across all of Japan. And you could imagine the endless use cases that one could think about as we offer this as a platform for developers and enterprises from consumers to smart cities to architecture to enterprises. We are completely differentiated, thanks to our technology and architecture and this technology now is available to be consumed and delivered to both the consumers and enterprises. And last but not least, in the key strategic areas as well is the expensive cost control. As we go from our journeys, think about the journeys of Rakuten Mobile. The first stage in Rakuten Mobile. The journey begins by focusing on organizational build-out. We had to validate Symphony technology architecture. We had to stabilize the technology, scale it, make it reliable, validate it, build this base station at an unparalleled speed, and we've done that. We've done the first phase. And I think this is -- the world has been witnessing what has happened in Japan, it is really remarkable. The next step for us is to be lean and profitable. This is a key focus for us. So as we moved all the free subscribers to paid, now we look at optimization in terms of productivity, efficiency, but most importantly, acceleration of customer adds as our coverage and the breadth of coverage improved. And last but not least, we have no intention and no desire to be a fourth mobile operator in Japan. I believe we are in our way to be the number one mobile operator and carrier in Japan. So focus on cost, cost will decline drastically. You have seen, and I have showed you in the previous slides that the major build of our network is done. The costs will dramatically decrease as we hit the 60,000 mark and add 99% population coverage. It will decrease in three primary areas. One is the base station construction and OpEx will reduce dramatically, Maintenance is through automation and other activities is improving as well as roaming fee. We are carrying almost today, 95% of traffic is sitting on Rakuten on mobile network. Roaming will continue to reduce over the next quarters. And another part that we told the world about is the impact of ecosystem creation, and this is the value of what we see today in terms of Rakuten ecosystem contribution from mobile to the ecosystem. So you could see that Ichiba, point card, bank, pay. This is remarkable to see this impact of mobile customers to the larger ecosystem. And then more specifically, if I show you one specific example of Ichiba GMS of MNO users in September 2022, we are 26.2% contribution to the overall GMS. This is the right trajectory for an ecosystem creation. So in summary, we think through a low-cost structure, high-quality, customer acquisition power, the one Rakuten ecosystem, there is no doubt that our strategy to hit towards number one mobile carrier will yield fruits in the next coming quarter and in 2023. So with that, let me just dive and give you a quick overview also about Symphony. Please do not forget that Symphony could have never been created had it not been for Rakuten Mobile. The technology and the innovation that we have driven to Rakuten Mobile have given us the desire to take this technology and globalize it across the world. Symphony today celebrated a one-year mark. It's a big accomplishment. We integrated all four companies that we have acquired under one group. We are a global organization with 95% of our teams in R&D and engineering, a massive software-driven unified product catalog, driving massive innovation across the board. Symphony is a software company. And let me remind you about the portfolio of Symphony, from cloud to radio, to OSS, to BSS, Internet and ecosystem services. This is really, really remarkable in terms of breadth and width of capability in this company. We also driven and I talked about this in Rakuten Mobile. Mobile as a software continue to focus on driving cost optimization, not just in Japan, but globally to reduce overall TCO committed to do it over 40% to 50% reduction of over TCO in mobile operator deployment. The launch of a Telecom app store is a unique value proposition. Similar, this has never happened in Telecom. This is today deployed globally. This is the world's first Telecom app store that developers could come in and onboard complex telco workloads. This is intended for Rakuten owns apps and third-party apps, and you will see a lot more innovation that we're going to drive through this platform. This is the part that I am so excited to share with you, and we have never done this before. Let me share with you what a one-year-old start-up has done in just since August 2021 until today. We have opened up our global offices, nine global offices, invested heavy engineering, massive technology partnership, huge awards from the industry, but we have booked US$3.1 billion of booking revenues in the first 13 months of Rakuten and Symphony existent. This is just absolutely remarkable. 14 global customers, two marquee customers that we're providing end-to-end technology stack. So from booking to revenue, if you look at Q3, we are at US$315 million of revenue in Q3. And if I share with you our pipeline, what I could tell you is the demand in the market is very strong, very strong. Symphony have to focus our resources and high payoff projects and activities. In addition to the booked US$3.1 billion, we have 69 opportunities that we are also going after that have a value of US$2.7 billion of pipeline, 110 million in total that we are addressing today. So if you ask me what is really the aspiration on the goal. We think in the next five quarters, we're going to work and really put all of our energy and effort to break through the $1 billion target mark for revenue for Symphony. So and I'll end at this slide to you, what makes us unique today in Symphony. We are a pure software player. We have an unbelievable edge cloud platform. This is unique in terms of our capability to deliver complex workload like radio access and data-intensive applications such as packet core and other telco-specific application, an industry-first app store amazing focus on lean organization. This is extremely critical for us that we always be nimble and agile, highly diverse organization from 70 countries, and we inherit from the group as a whole, the Internet DNA philosophy and culture, and that's why it gives us confidence between Rakuten Mobile and Rakuten and Symphony that we're heading into the right track. With that, I will end at this, and thank you very much for listening to my content. Thank you very much.
Unidentified Company Representative: Next, we'd like to invite Mikitani San to make his presentation.
Hiroshi Mikitani: Thank you very much. As mentioned, Rakuten Mobile progress is made, and we see the synergy effect as well. By and large, our business is proceeding quite favorably, and user is expanding in Rakuten Ichiba. Rakuten Travel is recovering its need because of the total need. So the GMS, has reached 13.1% Y-o-Y, which is two-digit growth. And some companies who are suffering the growth, however, Rakuten is enjoying. US, Rakuten US, inflation is a concern. However, there are many e-commerce sites, which are suffering from this inflation. But in terms of Rakuten, we have reached 25.7% Y-o-Y growth. So, in United States as well, we are growing. In terms of the FinTech, the card issue have reached 27 million bank account has reached 13 million. Our customer base is expanding and GTV is also growing, especially card shopping. The GTV has grown 27.4% Y-o-Y basis. In terms of the mobile, Tareq has just explained to you. This is more detailed figures, and I would like to give you more numbers. So consolidated sales is 8% growth, ¥471.1 billion. And also, the non-GAAP operating income is ¥47.2 billion, 7.8% growth. And the Rakuten Security total account number is 25.3% increase, which is ¥8.36 million. And the EC side GMS is 13.1% growth, ¥1.3 trillion. And Japan's number has reached ¥1.5 trillion. And then segment revenue, which is 195 million and the non-GAAP OI is 225 billion. So, it is 3.7% Y-o-Y. So it performed pretty well here. I think the Rakuten Mobile profoundly contributed to this push up, for example, Super cell revenue, 25% of them were from mobile users. And then synergy is working very well or the further accelerating, so Rakuten Travel Synergy effect, so the user using both the services has increased to 51.6% likewise, the Netsuper and the Gora 14.3% and the Fashion, 9.1%, and Beauty was 6.9%. So we see further growth of the Synergy impact. And then one example is the Rakuten Seiyu Netsuper and the other companies are struggling in this area. However, GMS plus 15.2% and particularly, our distribution center shipping, which was grown by 32.2% Y-o-Y. So it's performing pretty well. And United States, Rakuten Rebates. So we brought this to Japan and in the US, we do the cash back, but we did point here in Japan, not just for the Rakuten Ichiba, but also external EC site can be -- will be incorporated into our Rakuten Ecosystem and the Y-o-Y basis, 44.1% increase. So the CAGR for full year is 116.3%. So it's performing pretty well. So Rapid Ecosystem used to be based on our server-based services. However, we will like to expand this outside of our server and another highlight is looking from the global point of view, Internet advertising, business struggling. But as for Rakuten Group, and we have JPY 44.2 billion this time. And then Y-o-Y basis plus 18%. So we progressed pretty well. And particularly, the EC-related transactions and our share is beyond 50%. And in this area, it's a very high profitable business. Therefore, we would like to strengthen this arena. And other Internet services, including overseas businesses. So comparing to the year before, JPY 650 million profit was improved... Next about FinTech. This is by segment sales and operating income and 116.5 billion. We have grown by 10.3% and non-GAAP is 25.17 billion. And actually, we have received -- achieved 19% Y-o-Y increase. As mentioned earlier, the number of members are growing very steadily. What to be noted here is the card business, Rakuten Card business, the GTV is expanding exponentially. To our supplies, Card shopping GTV six years ago was below 10%. However, now it is 23%. So we are aiming towards 30%. Rakuten Bank has already exceeded 13 million accounts, and we are growing towards 25 million account. And security business, Rakuten Security Business, we are restructuring the business, and we have established the Rakuten Security Holdings company, and it has the Rakuten Security and Rakuten Investment Management Inc. and Rakuten Wallet Inc., and we are preparing for the IPO, especially our partnership with Mizuho Security, this is something that we would like to solidify and show you some tangible outcome of it. Mizuho's consulting capability, the holistic asset consulting capability and our online capability should be tied up, so that this alliance would become some win-win for the two parties. And we are also offering the insurance business, and we all offer the online service as well. And overall, this Face-to-Face channel is in recovery mode. And the Rakuten Payment, the ATM of Seven Bank is now capable for the Rakuten Pay applications charge, and we are aiming to become the number one in this industry. NFC-based touch payment will allow the payment globally as well Last but not least, overseas businesses, Rakuten TV, ¥63 million, mainly in Europe. So it is a 52.3% Y-o-Y growth and then mainly the Korean drama streaming platform, which is VIKI and ¥63 million and then it's a plus 30% Y-o-Y and then the e-books. I think we are the world number two, and it's beyond ¥60 million in Viber, so Russia, Ukraine, a strong market, although the number of subscribers are increasing. However, due to the Russia-Ukraine conflict, the revenue is negative. In Rakuten Rewards, and today, there is a big event held in New York and the GMS total is US$2.7 billion. So it's 11.4% Y-o-Y basis, it's performing pretty well. And that's all from the business segment and the business performance. Last, but not least from Hiroshi, CFO, to talk about the financial strategy.
Hiroshi Takasawa: Hello, I'm Hiroshi. I would like to talk about the financial strategy. So this is the basic policy. As you can see, the mobile CapEx, we would leverage some noninterest-bearing or debt-based equity. And we are leveraging the securitization as well. And active mobile, we will use the leverage lease and the securitization. And in terms of the mobile business, we are in the initial investment period, and we need to respond to this. And we are going to do the equity-related asset monetization as well. And in addition to, we will also have this US data-based or euro-based subordinated bonds as well. Going forward, the asset and business monetization, Rakuten Security, Rakuten Bank, IPO will be happening, so that we will be able to source in some manner. And as of the mobile business, operating cash flow should be expanded and mobile business profitability recovery, those are the areas that we would like to do, therefore, we need to secure the funding for those. And going forward, the need for the fund for the mobile business, that might be your question. And Tareq have already mentioned about this. The base station build-out will be reaching to the maturation and we are going to expect the decrease of the CapEx going forward. And in order for the solid financial -- we have the solid financial strategy to maintain financial soundness. So we are not going to limit these funding sources, not to our current existing sources. And for the liquidity, we would like to keep the optimal, the cash line. And also, we are going to leverage the JPY 150 billion commitment line and commercial paper facility as well. Also, we have the strong support from Japanese banks, and we are in a good relationship and maintaining optimal debt balance, as mentioned earlier. Internet service, fintech business needs to grow, so that we will increase the fee cash flow and operating cash flow needs to be profitable for the mobile business and then generate free cash flow. So we would like to increase the EBITDA, adjusted EBITDA and the leverage standard should be 5x. As you can see here, this is a diversifying financial sources, including equity, asset financing and bonds. Senior debt, we are leveraging the senior bond and the overseas bond as well. And we will have the variety of sourcing capabilities, and we are going to leverage the subordinated bond domestically. And in terms of the business portfolio optimization, we had exit from the loss-making businesses. Asset monetization, we had, except from the investment businesses. And we are ensuring our profitability. Also, in 2021, we had the third-party allotment and the recent quarter, the transaction involving Rakuten security, strategic transaction was made. So we would like to continue to run the sound financial operation.
Hiroshi Mikitani: So this concludes our financial. Thank you for joining our live question-and-answer session on Rakuten Group's 2022 third quarter financial results. We have the entire management team here ready to answer your questions. Please allow me to introduce our management team. Hiroshi Mikitani, Kenji Hirose, Kentaro Hyakuno, Tareq Amin, Shunsuke Yazawa, Masayuki Hosaka, Kazunori Takeda. We have seven executive numbers. And now it is a Q&A session from the media. And this question-and-answer session will be simultaneously translated into English and Japanese. Please select the language you would like to hear in your audio feed from the Zoom navi bar at the bottom of your screen. Please do not select mute original audio. When the interpreter speaks, the original volume will be lowered, and you will hear the interpreted voice overlaying the speaker. The presentation materials shown have been aligned with Japanese. If necessary, please download the presentation material from the Investors page on the corporate side. Please raise your hand to ask a question. For those joining from their PC, in the participants galley view your will find a Zoom navi bar. Please click raise hand to ask a question. If you are joining from your mobile phone, please tap more and then tap raise hand in order to ask a question. If your name is called, please make sure your mic has been unmuted before asking your questions. And please note that we can only accept questions regarding the results in order to answer as many questions as possible please ask up to two questions at one time Thank you. So if you have any questions, please raise your hand. Mr. [indiscernible] please check you are muted and ask question.
Operator: I am [indiscernible]. I have two questions around mobile. [Operator Instructions] Mr. [indiscernible] please check you are muted and ask question.
Unidentified Analyst: I am [indiscernible]. I have two questions around mobile. One is that you do not have any free users, but paid users is 100% now. So Rakuten Ichiba or finance businesses, maybe they had increased their usages. What do you see any specific synergies, if could you please explain? The second question is that about the CapEx reduction. Personally, Rakuten Mobile is starting to lay off. That is news. Twite, metal are also doing it. And I do understand the reasons are different. But I would like to check if that is the real case or not?
Hiroshi Mikitani: Up to October, the point back system had been leveraged, but in November, from November 1, full-fledged charging system has been started to all users. It has only been 10 days. So the data is not really gathered. But recently, e-commerce is growing very steadily and I do not see any synergy reduction or deterioration. Am I correct? Yes. So about the layoff of employees.
Tareq Amin: If you notice my presentation on the phases of where we are, first phase, when you build mobile network, you invest a lot of organization and headcount, especially around base station construction. Second phase, as we are nearing the end of the major construction build-out, I would not classify this that Rakuten Mobile is doing layoffs, but Racket Mobile is now focused on our lean operation. The staff that we would have required to continue to build an investment into the build, obviously, as the number of base station reduces such staff we are transferring to other functions within the group. So I have seen the news and read the news. And I would say not all of it is accurate. This is just part of our business as we continue to focus now on the second phase, which is lean operation, largely due to major build almost finished for us. We just have a few more percentages left to finish up population coverage. Thank you.
Hiroshi Mikitani: Let me add to his explanation, as you know unprecedented speed of our business and build has been rolled out. Rakuten Group has been -- Rakuten Group members have been used or maybe are assigned to the base station building, and we are now coordinating the member allocations, maybe they will be going back to the original seat and so forth. And in terms of the platform business, ORAN, the fast world-wide is deploying and 5 million members worldwide are levered under that team. And then automation will become more accurate or more usable. So it is not the layoff, but we have many other growing businesses or growing areas. So we would like to reallocate the stuff. Thank you. [Foreign Language] 
Operator: Okay. Let's move on to the second person [indiscernible].
Unidentified Analyst : [indiscernible] good to talk to you. I have two questions. The first one is about Super Sale and MNO users contribution to GMS, which was 26%. Is this the number of purchase when you compare it to the users, so what's the difference between the two is so let's say the Super Sale in June or the shopping marathon in October, comparing to other events, how the trend of GMS changed? And that is the first one. The second one, the rebate performance is pretty low. And why is it growing at this point in time? Did you do some promotion, or do you have more affiliate sites. So how do you analyze about the good performance of the rebates? These are the two questions.
Hiroshi Mikitani: Thank you very much. As for the Super Sale and rebate, could you cover?
Tareq Amin: Okay. So first of all, Super Sale, our monthly active user number is about above 34 million, given that 26% of 34 million active user -- so we have more mobile users given the percentage, actually, they contribute to the sales. That is our understanding. And of course, including mobile users and many services are utilized. So the loyalty to the Rakuten is very high. So the purchase value at that time is not only thing, but also using various campaigns and by items from various channels. That's my understanding. And looking at the monthly activities, what will be the cross channels purchase increase happens, and we are tracking that. So the number of the service being used is increasing. So this is another positive factor. So looking at the overall picture, I think it's multiple factors. We have the 39 Thank You program, which is the free shipment fee, and that is reaching 95%. And then also over the past 25%, we have revised our system and improved our logistics operation. And that's why we have increased the number of loyal customers. And also, we have new purchases from Rakuten Mobile and then fostering the loyal user from Rakuten Mobile user. And we have the Rakuten Card and Point Card. And so now we see the synergy happening in a rapid pace. Thank you very much.
Operator: Thank you. Next, Saiki from Nikkei, please.
Unidentified Analyst: I'm Saiki from Nikkei newspaper, about the number of users as of the end of September was 4.55 million and your future target or timing, if you have any ideas, could you please share? And also, in regard to ARPU, this is the first time that you disclosed this number. Going forward, how much increase are you expecting? And one other question, cost reduction, roaming cost is reducing according to your expectation. But by when, are you expecting to reach that number.
Tareq Amin: Let me address the roaming cost and maybe sale will discuss the other topic. But on the roaming cost, it is no doubt that when our customers are in our own network, the experience is just dramatically better. So that's why we fast-paced the base station deployment. And we are four years ahead of schedule for that specific reason. Today, 95% of the total traffic is carried on Rakuten own network. So we're only remaining is just 5%. So we aim to finish the remaining 5% with the conclusion of the base station construction as we reach 60,000 in 2023. So that's the plan that we have in terms of further cost optimization on roaming.
Hiroshi Mikitani: [indiscernible] Regarding roaming, we have the contract with KDDI. Therefore, I cannot speak about the details. However, if you can see the math of roaming status, I think those are concentrated to the, outside of Tokyo or maybe outside of areas. And we are going to make more than 10,000 base stations to be on air. So that will be much improved. A number of the users, our specific target or ARPU numbers, we are not disclosing those. Therefore, we cannot speak about that. However, as of November, the numbers are quite good. And we would like to grow rapidly. ARPU, I would like to make a comment. Actually, it is growing quite well. 5G penetration is impacting and also ecosystem. This is growing as well. So please expect to see better numbers going forward. Thank you.
Unidentified Analyst: Thank you very much.
Operator: Okay. We move to the next question. Yushi Kawamoto, please.
Yushi Kawamoto: Yushi Kawamoto is speaking. Platinum fund reallocation draft was shown in the presentation. So what is your comment, or how do you react it, are you happy with this? So I want to know your reaction to this. And then in that report, draft report, so the existing license and the new entrants, if you to get an agreement, you can accelerate your plan. So, would you like to accelerate your plan even if you need to build in some of the cost?
Tareq Amin: Of course, we're very happy about the platinum band, and we're very happy about the process that has been achieved through cooperation of MIC and MNOs as well as us. I think it is no secret that platinum band plays a huge vital role, especially on the last pillar of enhancing what we call the deep indoor coverage. So, the characteristics of platinum band for penetrating buildings, of course, is better than the current mid-band that we have. And we have an absolute intention that we want to accelerate the deployment time line, and we're optimistic that world at for platinum band will start in 2024.
Unidentified Company Representative : As for your second question, maybe you were asking about the -- as we accelerate or not. And I think we mentioned in our comment about this time. We were not going to use that. And we made a proposal two times ago about the 10-year migration period. That is a proposal from our side. But comparing to that this time, it is the five years or the migration period becomes shorter, so we can accelerate the migration. So, we were not going to use that special treatment. Thank you.
Unidentified Company Representative : Thank you. So, let me add some comments here. So, this is a little bit the expertise. I think to the five-year migration. Within this five-year on a phase basis, that will be available on a phase basis. So, you don't have to wait for five years. So, the detail would be ruled out by -- driven by MIC. So 20%, we will be able to use by 20% to 20% on a gradual basis. Thank you very much.
Operator: [Foreign Language] [Operator Instructions] [indiscernible] Please ask question.
Unidentified Analyst: Thank you. Net major company are struggling to grow. I think their growth is saturating -- their performance numbers are saturating. Do you think that would be happening in Japan as well? If that is the case, would that impact Rakuten performance? When we consider Japanese consumption, inflation is already happening in Japan as well. So, up to this financial report, [indiscernible] business has been quite good, however, going forward, what kind of impact should we expect? But from when, do you think you need to be vigilant for that to happen. What is your view? Well, in United States, due to pandemic, people had been divulging online quite a lot. And there, kind of, reliance to online was much greater than Japan, and they had come back to offline basis. That is a huge impact in the United States. Secondly, the online ratio originally had been quite high in United States -- online ratio is maybe two of Japan. And I think we had some boom because of the pandemic. However, the impact of significance of that is less than United States. So we -- we are growing steadily. And Internet shopping penetration rate is probably half of United States market. Therefore, we still see the growth opportunity here. And travel, Rakuten Travel is recovering. So I am expecting the business to be quite sound. And we do have off-line ecosystem as well, point economy, credit card payment, it has the 23% market share, which is quite large, but we are aiming to 30%. So whatever the thing or situation might come, we do have good ecosystem to support solid growth. Thank you. How about inflation impact? Do you concern about the Japanese inflation? Well, compared to United States, the inflation impact is much less in Japanese market. And Rakuten rebate is actually growing. I mean word, other media are suffering, but United States is growing with cashback system. So as inflation progress, the price elasticity will be much greater, and maybe they would leverage its point system rebate system on an online basis. Thank you.
Operator: With that, we would like to close the Q&A session with the media. Thank you very much for your participation. Thank you, everybody, for joining our live question-and-answer session on Rakuten Group 2020 Third Quarter Financial Results. This is the investor and analyst Q&A session. Let us introduce our management team. Hiroshi Mikitani, Kenji Hirose, Kentaro Hyakuno, Tareq Amin, Shunsuke Yazawa, Masayuki Hosaka, Kazunori Takeda, we have seven executive numbers. And I'd like to explain how we do this, and we have simultaneous interpretation English and Japanese. So please select the relevant language from the zoom, at the bottom of your screen. Please do not select mute original audio. When the interpreter speak original volume will be lowered and you will hear the interpreters voice overlaying the speaker. The presentation material shown has been aligned to Japanese. And people who are joining from PC, please leverage raise hand button when you ask questions. And the raise-hand icon. And if your name is called, confirm that you are unmuted and ask questions. If you are joining by phone, please tap the star key to raise your hand. And when your name is called, we will ummute you. So please ask questions. And at the bottom, we have the Q&A box, and you can also ask question from that box as well. So we would like to open the floor for the questions. Okay. From Bank of America, Nagao-san please unmute yourself and ask your question.
Nagao Yoshitaka: Thank you very much for calling my name. Nagao from Bank of America. So question up unit two, right?
Operator: Yes, two questions per person.
Nagao Yoshitaka: Thank you very much. So let me ask my question. Well, the two questions are related to mobile business. July, September, MNO was net decrease. However, as of October 31st, point backward ended in November, December. So what are the current trends and its duration? And then so how much confidence do you have for the net increase? That is my first question. And my second question is about ARPU. So October to December, how will ARPU grew? And based on the calculation, it will be increasing as your presentation material mentioned. But other than that, by having no free users, and is there any other organic other factors that you have some expectations? These are the 2 questions from me.
Hiroshi Mikitani: First of all, the current subscriber trend and the migration period end, and then this is a 10-day data in November and now churn is settled. And then we have the increased number of subscribers or the current situation is pretty good. And as for ARPU, the biggest one is 5G penetration. As Tareq mentioned in his presentation, not as for the 4G, but for the 5G on air from the January to March, we are preparing to make it on air. So 5G on air is a big driver to push up the ARPU. And also ecosystem is another big factor. And particularly EC, October to December is a very strong season. So this ecosystem and data, these two drivers will be growing largely.
Tareq Amin: One more comment. And one of the slides that I have shared, we've shown and highlighted the relationship between coverage and customer adds. So our confidence to add an increased net ads is very high, because we're also addressing and enhancing coverage. So if you look at this chart in front of you, achieving 10% application rates and Tokyo 23 ward show us that this is definitely hitting into the right track. So that was the primary reasons of why we are fast tracking our base station build-out and investing heavily to make this happen, both on 4G and 5G.
Operator: Thank you very much. Okumura-san from Okasan Securities, please.
Yusuke Okumura: I'm Okamura from Okasan Security. I have one question. Thank you very much for those numbers around mobile. I really appreciate. And mobile profitability is what I would like to ask you. Next fiscal year, the single month profit was supposed to be achieved. Personally, the ecosystem expansion, if that happens -- the current ARPU progress and user increase. What is your vision about this? MCI, you are already submitting the business plan, but are you planning for the division of the business plan or not? So that is my question.
Hiroshi Takasawa: Yes, I would like to answer to this question right now. Of course, we have the good viewpoint. As Tarek mentioned earlier, we are in the Phase 2, the second phase. So for the profitability, we are aiming while we are working together. At this moment, we have no significant plan change at this moment. For the profitability or profit increase, we are in Phase 2. And cost structure would be significantly different from the phase where we were increasing the number of base stations. We had the momentum to grow the base stations. Now we are going to review what we have done and make our cost structure even better. We've been having quite good cost structure, but we would like to make it even better like ventures. And we are not restraining our investment crowd or [indiscernible] base one to be migrated to container-based, and there are third-party software in use as well. And also, we will be able to internalize them through the Symphony. So cost structure would be changing. So towards the latter half of 2023, I think, we will see this difference. And as for the user acquisition, we are starting to see the increase in November, and we try to accelerate this speed. Word-of-mouth is working quite great. Similar to the growth of the Rakuten card, I do expect the mobile users will continue to grow.
Yusuke Okumura: Thank you very much for your explanation.
Operator: Thank you very much from. From HSBC, Neil-san [ph]. Please unmute yourself and ask your question.
Unidentified Analyst: Good afternoon. Thanks for the opportunity. Apologies, if this has been asked before. But I had a couple of questions on the Symphony Pipeline, please. So, first of all, can you give us a bit more details on what part of your, sort of, product suite is attracting the most interest? And secondly, I had a query relating to integration of Symphony products with 2G. So in I think some European markets, 2G is still quite important for regional coverage. Are there any issues in integrating an Open RAN type solution with 2G in those markets? Thank you.
Tareq Amin: Thank you very much. So in terms of the pipeline, I – every time I talk to colleagues, media, analysts, I tend to emphasize that our technology and solution and platform is not just about Open RAN, but it's actually a collection of components that makes us extremely unique. We have demonstrated in Rakuten Mobile that the quality, reliability and cost structure of Rakuten Mobile Open RAN architecture is really achieved its objective. However, we also have invested significantly in bringing automation systems that the analogy I gave everybody think of what Tesla has done for EV in terms of autonomy, we are doing for network. So when we show the application store that we have and the OSS products and the automation, I think this is, by far, the most attractive thing. And when we integrate the OSS and automation with Open RAN, it becomes a very, very compelling story. So those customers have the luxury and the ability to consume a la carte. We are seeing tremendous integration possibility of combining our Open RAN software together with our intelligent operation software. I think we believe that we are uniquely positioned and the intelligent operation software, for sure. The integration that we have, I don't see it in any other competitor in the industry. The 2G question is also really, really good because we are competing today in several brownfield operation across the world, not just only in Europe, by the way, there is very specific opportunities that are coming together in Asia and Asia Pacific. So Symphony have really taken a very deliberate approach that all of our engineering, all of our R&D and investment must be focused on future technologies, meaning 4G, 5G as well as 6G. And when it comes to 2G, we found that through partnership collaboration, we're able to actually take and consume the software stack from partners and integrate within our cloud offering. So we have really no intention for Symphony itself to build 2G platform, but through partnership, we're able to comply to all the requirements of RFPs that are being issued both in Asia Pacific as well as Europe.
Unidentified Analyst: Got it. Thank you.
Tareq Amin: The one other thing by the way – sorry, let me add one more thing. In discussions with quite a bit of operators worldwide, obviously now, Japan has opened its borders. And we had a few customers that came here and we always said saying is believing, coming into Japan became a compelling value proposition to show, demonstrate, touch we really understand the network. So in the month of April, it's an amazing opportunity now to extend an invite to the global community of mobile operators, CxOs that we're going to establish an event where we're going to host a summit in Japan. It coincided also by the way it's one of the most beautiful seasons in Japan. So watch for this event, but we're really getting excited to take people not just to look at marketing and PowerPoint presentation, but to really walk them through the entire totality of the architecture from sites to data centers, to regional data centers to automation to cloud, to the operation team that we currently have. So we think that's going to add a huge value to continue to promote Symphony and its capability to the global community 
Operator: [Foreign Language] Sato-san from Jefferies Securities. Please.
Hiroko Sato: I’m Sato from Jeffrey Securities. I have questions. First is the media coverage. Rakuten Mobile is restructuring, could maybe restructuring. So you have a lot to do, and the restructuring didn't seem to be right. So since we have all the management team members, I would like to ask you to give us a comment. And before Mikitani San said that the KDDI roaming negotiation was supposed to be happening in October, you mentioned that before. And then roaming cost reduction will become more visible in fourth quarter, or could it be the first quarter next year. That is my image, but am I right?
Tareq Amin: So I think earlier, during Miki’s presentation, it's -- one critical point to understand, there was a point of time in Rakuten Mobile journey, where Rocket Mobile have outsourced base station construction to third parties. And frankly speaking, that did not go well at all, at all is it not go well. And one of the key factors we decided to do is to borrow resources from different businesses from the group as a whole. And we've done this deliberately, because we knew that we needed to accelerate the base station build out. So while we saw the media reports about layoffs, et cetera, in fact, what is happening is the people that we borrowed are going back to the various group entities and to their previous roles into the organization. So, as the base station development and construction is now reaching its desired objective. Of course, we don't need as many resources to be focused on the construction side. So in Phase 2, through our operations, through our automation, we are unique that we could run this network with a fraction of operational personnel compared to other businesses. So we will continue to focus into this lean operation, but it's not necessarily a deliberate thing that we're just laying off people. This is just part of our business as we slow down the construction. And maybe, Mikitani [ph], do you want to talk about KDDI?
Unidentified Company Representative: Let me explain about the roaming contract. Because it is a two-party contract, I cannot speak about the details. However, it is not limited to the roaming, but our recent cases that the semiconductor supply, which is still unstable. But towards December, we are expecting to become more stable. And as Tareq mentioned, after January, we will make more and more base stations on air. So eventually, our coverage will be expanding. Then KDDI roaming would become much less than now. But when it comes to the details, I will not be able to disclose. Bird layoff is pretty big image. But my understanding what Mr. Tareq said is that it pretty much you ramped up the first phase. So you're done with the first phase, you're letting go the resources. But now you're moving to the second phase. So it's not really laying off. You just basically finished off the first task. That's how I should look at it. Is that correct? 
Tareq Amin: I mean, if -- again, we have borrowed a lot of internal resources. And the way you should consider it is these resources are going fast to their respective business units. So I don't really think -- I read this report, and it is really not a reflection of what we are doing at this stage. It's just nature of the reduction in the base station count. We don't need to build 50,000 base stations anymore. And thus, it made sense and logical sense that we continue to optimize the business for profitability. As we indicated for Phase 2 is lean on profitability is our key focus.
Hiroko Sato: Okay. Very clear. Thank you very much for clarification.
Operator: Okay. We will move to the next question from MST Financial Securities. David san -- we received the question.
David Gibson: $0.1 billion in booking Slide Page 43 and $350 million cumulative basis on Slide Page 44...
A –Unidentified Company Representative: Mikitani will answer to this question. Page 43 and 44...
Hiroshi Mikitani: So definition of booking and definition of revenue, it's a very important one. So we signed global contracts with 14 customers. And as I mentioned, we have one large customer as an end-to-end solution in 1&1 in Germany. So the contract value has been agreed upon over a fixed number of years, and that defines booking. Now to go from booking to revenue, you have to deliver on certain milestones for this project. It could be things like building a data center, delivering antennas, delivering base station, accepting the base station. So the delta between booking and revenue is a natural part of the business in terms of maturity of the project to its delivery. Of course, the total revenue will accelerate as the projects mature and gets accelerated in terms of sites on the air, let's say, in case of 1&1 in Germany, our ability to recognize from booking to revenue will accelerate significantly in 2023. And of course, we would be very optimistic to land further bookings and deals and specifically brownfield opportunities.
David Gibson: Thank you very much.
Operator: [Foreign Language] Are there any other additional questions? So Sato-san from Jefferies Securities. Please ask a question.
Hiroko Sato: Sato from Jefferies Securities. Internet service. That is my question. 13%. Rakuten Travel seems to be contributing greatly. If possible, could you give us more breakdowns like shopping, Rakuten Travel proportions. It can just be a rough figures. This is just a number in the box. So, could you give us a little bit of the breakdown? Would it be possible?
Hiroshi Mikitani: Thank you for your question. I cannot, of course, give you all the details, but I just feel from my feeling, Rakuten Ichiba is quite, good. Super sale had captured more customers and the purchase amount, frequencies have been better than last year. Single-digit growth probably, but the mixture of everything had reached to the double digit. The number of customers, the amount of the purchase, the purchase amount has shown this number. As for Rakuten Travel, as you know, compared to last year, it has grown more than 50%. At the same time, pre-pandemic comparison is also made within our company. And domestic travel is showing better figures than 2019. So I think demand is coming back. Overall, Rakuten Travel profitability, we see the better outcome. However, it has not included the outbound demand yet. And thus, fourth quarter or next fiscal year, we can expect further growth.
Operator: Thank you very much. So this concludes Q&A session from investors and analysts. Thank you very much. So now we would like to have Mikitani-san to make a comment for wrap-up.
Hiroshi Mikitani: From the Rakuten Group, looking at the entire picture, Rakuten Mobile is a new factor to acquire new users. And then, they are the corner of our ecosystem. They are performing, and we want them to perform more on this aspect. So total user number. Well, from the business point of view, we don't need the free users. So if we have all paying users paying monthly charges. So we want to have paying users and those users use their point to pay their mobile monthly charge. And also if they have a mindset, once you join Rakuten Mobile, they can use the other services in Rakuten systems such as Rakuten Card. And this kind of the synergy has already started working. This is a big factor and also AI and data science, well capable talent is inflowing to Japan. Many of them are coming. And I think this is another big factor of a company. And we have some loss-making businesses. But we would like to grow those businesses as well. And e-commerce let me add some comment. Rakuten Fashion is performing pretty well these days. So depending on items, like 20% of market share is captured, in some cases, therefore, we can enjoy a synergy among the group services and the data is very important. So the how -- which data you have. Maybe other companies are struggling even in the global market, but our Rakuten Advertisement Business is performing very well. Therefore, we have a quite aggressive investment plan in Rakuten Mobile. So as evidence that the aggressive investment is reflect upon to our business performance. Thank you very much for your support, as always. Thank you very much. And this ends the Rakuten Group's 2022 Third Quarter Financial Results Meeting end.